Operator: Greetings and welcome to the Great Elm Capital Corp. First Quarter 2023 Earnings Conference Call. [Operator Instructions] As a reminder, this conference is being recorded.  It is now my pleasure to introduce your host, Garrett Edson, ICR. Please go ahead.
Garrett Edson : Good morning, and thank you, everyone, for joining us for Great Elm Capital Corp.'s first-quarter 2023 earnings conference call. If you'd like to be added to our distribution list, you can e-mail Investor Relations at greatelmcap.com or you can sign up for alerts directly on our website www.greatelmcc.com. I'd like to note the slide presentation posted on our website accompanying today's call. The slide presentation can be found on our website under Financial Information, Quarterly Results. On our website, you can also find our earnings release and SEC filings. I would like to call your attention to the customary Safe Harbor statement regarding forward-looking information. Also, please note that nothing in today's call constitutes an offer to sell or solicitation of offers to purchase our securities. Today's conference call includes forward-looking statements, and we ask that you refer to Great Elm Capital Corp.'s filings with the SEC for important factors that could cause actual results to differ materially from these statements. Great Elm Capital Corp. does not undertake to update its forward-looking statements unless required by law. To obtain copies of SEC filings, please visit Great Elm Capital Corp's website under Financial Information, SEC Filings, or visit the SEC's website. Hosting the call this morning is Matt Kaplan, Great Elm Capital Corp.'s Chief Executive Officer, who will be joined by Keri Davis, GECC's CFO; Adam Kleinman, Chief Compliance Officer of GECC; and Mike Keller, President of Great Elm Specialty Finance. I will now turn the call over to GECC's CEO, Matt Kaplan.
Matt Kaplan : Thank you, Garrett, and good morning, and thank you for joining us today. 2022 was a reboot year for Great Elm. Now, 2023 is shaping up to be the year that Great Elm goes back on offense, led by our revamped portfolio strategy. Our focus on cash generation and portfolio construction, namely deploying capital into senior secured floating rate investments, enabled us to generate first-quarter NII of $2.8 million or $0.37 per share, a 23% gain from the $0.30 reported for the fourth quarter of 2022. On our prior call, I had mentioned that we were positioned to cover our new quarterly distribution of $0.35 per share over the course of 2023, and we not only covered our distribution, we exceeded it in the first quarter. Given our momentum in our growing portfolio, we believe we remain well-positioned to grow NII again in the second quarter and cover our quarterly distribution. In addition, our net asset value increased by 6% in the quarter to $11.88 per share from both realized and unrealized mark-to-market gains on certain investments in the quarter. We're covering over half of the portfolio declines seen in the prior quarter. We are focused on further recovering net asset value in the months ahead. As we noted on our prior call, we are strategically focused on constructing a high-quality, diversified portfolio focused on performing and cash-yielding investments. For the second consecutive quarter, the cash income generated from our investment portfolio was the highest amount in GECC's history, representing over 85% of total investment income. In the first quarter, we opportunistically deployed approximately $46 million into new investments at average yields in excess of 12%. Meanwhile, about $53 million of assets were monetized in the quarter at average yields just above 10%. Most importantly, 58% of our debt investment portfolio at quarter end consisted of floating rate debt, up from 50% at the end of 2022 and almost double the 33% from just nine months ago. Average yield on our credit portfolio also increased to over 13% at quarter end from around 12% at the end of 2022. You should expect that we will continue to focus on investments that benefit from rising rates as opposed to fixed rate investments. But we also continue to monitor the Fed's policy stance. Along with reconstructing our portfolio to focus on floating rate investments, we have previously noted that we are committed to scaling our specialty finance platform. Today. I'm happy to announce that our healthcare finance vehicle recently closed a credit line with Encina Lender Finance. As a result, Great Home Healthcare Finance now has access to up to $100 million of financing for healthcare-related secured lending, and we expect the team to begin deploying that capital in the second quarter in a disciplined manner toward its robust pipeline of investments. Our factoring business also continues to perform well. And as a result, we believe the specialty finance platform is well-positioned to provide material contributions to GECC as we move through the year. Moving forward, we are cognizant of the increasingly challenging macro environment and remain measured with respect to deploying capital toward opportunities that have limited risk of permanent capital impairment and durable returns. We are excited for the future and our ability to generate attractive risk-adjusted returns for our shareholders. I am proud of our team's ongoing efforts as we continue to grow Great Elm Capital Corp. With that, I'd like to hand the call over to Keri Davis to discuss our first-quarter 2023 performance.
Keri Davis : Thank you, Matt. I'll go over our financial highlights now, but we invite all of you to review our press release, accompanying presentation, and SEC filings for greater detail. During the first quarter, GECC generated NII of $2.8 million, growing 26% from $2.3 million in the fourth quarter of 2022, as well as more than doubling year over year from $1.1 million in the prior year quarter, excluding the fee reversal. Our net assets as of March 31, 2023, were $90.3 million compared to $84.8 million at December 31, and $69.3 million as of March 31, 2022. Our NAV per share was $11.88 as of March 31, 2023 versus $11.16 as of December 31 and $15.06 as of March 31, 2022. Details for the quarter-over-quarter change in NAV can be found on slide 8 of the investor presentation. As of March 31, 2023, GECC's asset coverage ratio was approximately 159.8% compared to 154.4% as of December 31, 2022. GECC had an increase in net assets of $1.07 per share in the first quarter compared to a net loss from operations of $0.96 per share in the prior quarter. NII per share was $0.37, exceeding our quarterly dividend and up from $0.30 in the prior quarter. As of March 31, our total debt outstanding was approximately $151 million, including $5 million outstanding on our $25 million line of credit. As of March 31, 2023, our cash and money market securities totaled approximately $12.5 million. Our Board of Directors has authorized a $0.35 per share cash distribution for the quarter ending June 30, 2023. The second quarter cash distribution will be payable on June 30 to stockholders of record as of June 15, 2023. Annualized, the distribution equates to an 11.8% annualized dividend yield on our March 31, 2023 NAV of $11.88 per share. And with that, I'll turn the call back over to Matt to review the portfolio.
Matt Kaplan : Thanks, Keri. Just a quick note on how our portfolio construction has continued to evolve. As noted on our prior call in early March, we selectively took advantage of the recovery in January and February to monetize investments. Shortly after that call, Silicon Valley Bank and Signature Bank collapsed, and Credit Suisse was hastily sold to UBS, which created significant volatility in the market. We remain focused on managing our relationship and counterparty risks, and we're not directly impacted by these events. We continue to expect this orderly markets will develop over the course of 2023, providing pockets of opportunity to invest. In addition, we continue to direct our time and capital to club and direct deals as well as specialty finance, while still maintaining an active pipeline of potential secondary market investments. Historically, GECC was more focused on stressed and distressed secondary trading. But through the strategy we have been executing on, the team has increased its focus to sourcing direct deals and performing cash-paying credits. To that end, approximately 50% of our capital deployed so far in 2023 has been in proprietary transactions. Around the end of the quarter, we closed on two private clubs deals, both senior secured, floating rate loans. Interestingly, both these investments contain 2% SOFR floors, which we believe provides added protection in a scenario where the Federal Reserve begins to cut rates. Currently, we are working on a number of deals, almost all with a floating rate component of mid-teens return profiles. On that note, I would like to turn the call over to Michael Keller to provide an update of our specialty finance initiatives.
Michael Keller : Thanks, Matt. As Matt noted in his remarks, we are excited to have successfully closed on a facility that provides our new Great Elm Healthcare Finance platform with up to $100 million of financing from which to deploy capital into healthcare-related security investments. We have taken much care to build this new vehicle step-by-step. First, developing an operational platform and significant investment pipeline. And now finding the right senior finance partner and Encina Lender Finance to fund our platform. We'll continue to keep you apprised of our progress, but we expect Great Elm Healthcare Finance to scale in the months and quarters ahead. As I noted in our last call, structural and macroeconomic factors have created an opportunity in healthcare that I have not seen since the early 2000s. We expect GEHF will become a major contributor to the specialty finance business we are building across the continuum of lending that GECC can offer its small business clients. Away from the opportunities we see in the healthcare space, we are beginning to see a pullback by lenders in the ABL market as economic uncertainty, credit losses, shrinking deposit bases, and the full effect of interest rate increases take hold. Our investment professionals have been receiving more inbound calls from borrowers shunned by banks as well as financial institutions looking for liquidity and specific pools of assets. In addition to asset sales and overall lender pullback, various private credit platforms may be sold or require capital investment. For example, we have been approached by lending platforms seeking additional capital and/or looking to sell specific portfolios of loans. As noted previously, we have taken steps to bolster the operations and asset monitoring capabilities of our specialty finance businesses, which should allow us to take advantage of current market dynamics and opportunities. One of the direct beneficiaries of the pullback from banks is Prestige, our invoice funding business. Prestige had a tremendous first quarter, beating our management's expectations on both volumes and net income. The team continues to execute on its pipeline, and we have seen the momentum from the first quarter continue into the second quarter. We remain confident that our specialty finance platforms are properly positioned to execute on our growth initiatives and generate increasing sustainable income.
Matt Kaplan : Thanks, Mike. We continue to head in the right direction as evidenced by our NI exceeding our quarterly dividend. While only one-third of the way through the second quarter, I believe we are well positioned to grow NII and again cover the $0.35 dividend this quarter. With that, I'll turn the call over to the operator for questions. Operator?
Operator: [Operator Instructions] [Lee Crockett], Private Investor.
Unidentified Analyst: Good morning, Matt. A couple of questions if I could. On the slide --
Matt Kaplan : Good morning, Lee.
Unidentified Analyst: Good morning. On slide number 8, your NAV bridge. You've got the net realized gains of $0.24 and the unrealized gains of $0.46. Could you give us a little detail as what's behind those numbers? Was it general? Were there a couple of specific credits in there that improved? Or is it just -- I don't know what the market did over that time period. It was just overall spreads? That's question one. And question…
Matt Kaplan : Sure.
Unidentified Analyst: Okay, go ahead, Matt. I'll just ask that when I get the other one. Thank you.
Matt Kaplan : Yes. So no, third was from realized gains, which there are various credits in the rally that I was speaking about in January and February that were monetized or even refinanced out. And then about two-thirds was from recovering marks. I think there were two known to dig in, two contributors. One was an investment in an insurance entity in Florida that we made kind of at the end of 2022 and beginning of '23. And the other one that I'd like to highlight is Prestige. In the fourth quarter, Prestige actually impacted NAV by about $0.05, but this quarter was about a $0.10 benefit to NAV here. And as Mike mentioned, they had a very strong first quarter and they've carried that momentum well into the second quarter. Even before the banking stress started, they're off to a good start to the year. And we believe the current contraction that you're seeing from credit -- from regional banks will be a tailwind for them throughout the rest of the year. And when I'm talking about specialty finance overall, I'd just like to highlight the Great Elm Healthcare Finance side that developed a very robust pipeline. And now that we have this credit facility in place, we believe they're well positioned to capitalize on this disruption asset-based healthcare lending market, as we've seen the banks pull back. So as they grow over 2023, we accept -- expect this business to be a contributor to Great Elm Specialty Finance platform along with Prestige and our other asset-based lending platforms.
Unidentified Analyst: Great. And a question on the dividend. In the December quarter, and I was $0.30, and they paid $0.30 -- they $0.35. Here, you did $0.37 this quarter when you exceeded the dividend. You did mention that you're comfortable with your -- confident these assets generating the income to get to that level and maybe a little bit of a bump. Is the Board committed to this $0.35 level? And any thoughts you have on the earnings capacity going forward and the dividend payout going forward to the extent you can -- you feel comfortable talking about it?
Matt Kaplan : Sure. So growth is rarely linear. But as we ramp our healthcare and other specialty finance initiatives and execute on the credit pipeline we're seeing -- we're working to grow NII over 2023, I believe we're well positioned to grow our NII again in the second quarter here and cover the dividend over the year. One item that I think I'd like to point out with regard to this is our cash generation. As I mentioned on the call, this is our highest cash quarter of income in the BDC's history. And originally when drafting the script, I wanted to state with the highest cash income quarter as well. But then I went back and saw that actually fourth quarter of 2017 when the highest cash income quarter. But GECC reported something like $10 million of total investment income. But about 90% of that was picked in accretion income. So that fourth quarter 2017 kind of highest income quarter in GECC's history when we had a little north of $1 million of cash-based income. This quarter, we did $8.4 million of total investment income, second highest now in GECC's history, but over 85% of that is cash-based, so that's over $7 million cash-based. This is a fundamental change from the past approach. We have a new Board that joined when kind of -- or three new board members that joined back in March of 2023 when I stepped in as CEO, we are focused now on its new approach of -- focused on cash and cash generation. So when I talk about covering the dividend, I'd like to emphasize that my approach to doing that is very different than the past, and we think we're well-positioned, as I said, to cover the dividend over the year.
Operator: We are closing our question-and-answer session. Now I would like to turn the floor back over to Matt Kaplan for closing comments. Please go ahead.
Matt Kaplan : Thank you again for joining us today. We continue to make solid progress in our efforts to transform GECC, and we look forward to continued investor dialogue. Please let us know if we can help with any follow-up questions that you may have. Thank you.
Operator: This concludes today's conference call. You may disconnect your line at this time. Thank you for your participation and have a great day.